Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of IRSA, and I welcome you to the First Quarter Fiscal Year 2021 Results Conference Call. First of all, I would like to remind you that both audio and a slideshow may be accessed through Company's Investor Relations website at www.irsa.com.ar by clicking on the banner Webcast Link. The following presentation and the earnings release are also available for download on the Company website. After management remarks, there will be a question-and-answer session for analyst and investors.  Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements.
Alejandro Elsztain: Good morning everyone. Welcome to our first quarter results. The main events that we can see in Page #2, related to net results. We can see that this first quarter IRSA achieved ARS8.3 billion results, a decrease from the ARS15 million of last year and comparing the net results attributable to controlling shareholders, we increased from 4.5 to 6.6 in this quarter. And related to the adjusted EBITA when we compared to last year numbers, we can see a big impact – a big growth 155%. This is we can here compare the rental segments decrease, the pure rental of the package went down mainly because of the explanation of the shopping centers and the hotels, and an increase, there is a positive number in the office, but making a decrease of 96% comparing year-to-year. From other side, we have the ability to sell some of our properties at very good prices. We are going to explain later. And with that, we make like ARS4.8 billion gain that makes this job in the adjusted EBITA for the quarter. Related to the main and subsequent events of this quarter, in September 20, this curve decreased the insolvency of IDB and the liquidation and the group lost control and proceedings to the deconsolidation of these financial statements, so this was done now. The gradual shopping centers reopening after the lockdown for almost six month now in October 20 100% is open of our stock of the 14 shopping centers. From office sales, we achieved USD170 millions in the combination of third quarter and some other that we're going to explain later in the second quarter of this year. Related to hotels in Buenos Aires City, our remaining two are closed. Llao Llao has recently opened this week. So this is the beginning still for locals, but the beginning for the future for tourism for the region. Related to the cancellation of our notes of July and August, we successfully exchange the offer done in November Notes under Argentine Central Bank Communication and Matías will later explain in details how successfully did IRSA in that restructuring of those bonds canceled in this year. Related to distribution of dividends, this week the company distributing shares of IRSA Commercial Properties for a dividend for ARS484 million in kind. We can move now to Page #3, and we can see about the Argentine rental segments, the three lines shopping centers, office buildings and hotels. Related to shopping centers, the stock remains the same. Occupancy is almost the same with almost 93% with some big players leaving the country that is affecting our occupation, but we thank a lot of work of the team, we are recovering a lot of small tenants trying to occupy what big tenants are leaving. Related to the first quarter, there is a slight recovery.
Matías Gaivironsky: Thank you, Alejandro. Good morning, everybody. If we move to Page 5, here we have the recent news about the investment in IDB. As we mentioned in the previous quarter, at the end of the fiscal year, we had a resolution on the judge, there in Israel that instruct the insolvency and the liquidation of the company. So the impact in this quarter was the deconsolidation. We started to deconsolidate all our investment in IDB this quarter. Remember that in the last quarter, we already gave impact on the solo balance sheet on all the investments. So we marked down to zero all our investment in the solo balance sheet. This quarter, we have to gain impact on the deconsolidation that under the accounting rules, there were some reserves like conversion reserves or controlling reserves that that we have to write down to zero as well. So in this quarter we are recognizing ARS6.3 million in the discontinued operations and the rest of the lines from now on are at zero. The liquidation process was taken place in Israel these days. So, yesterday was a resolution on the selling of the DIC shares to a third-party. So, we are analyzing if we have any legal proceeding to try to execute something more there, but the recent news are the liquidation and the disposal of the DIC's shares there. If we move to Page 7, we have here the P&L of the company for this quarter. There is still the division between the Israel Business Center and Argentina Business Center for the last time that we are showing the two segments. From now on we will start to show all these Argentina business segments. So, we can see the results that we finished the quarter with a net income of ARS8.3 billion attributable to our controlling interest of ARS6.6 billion against ARS4.5 billion of the previous year.
A - Santiago Donato:
Santiago Donato: If there are no questions, we conclude the Q&A session. At this time, I would like to turn back to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: Just to summarize, we have seen through the presentation how good is now the financial situation of the company, how successful was the restructuring throughout the year, through sales and through issuing new bonds. Now, the portfolio is almost the same between what we built and what we sold. We are balancing the portfolio with the same shopping and the same office. We have a lot of landbank to begin to build using this opportunity that the construction cost is giving to the country. And so, you are going to see us finishing in the next quarter, the Catalinas building and to begin to think and to share about doing best interest of the country. And from the other side, we did reopening on the rental through the shoppings and the hotels. We are beginning to see again EBITDA in our main activities. So thank you everybody, have a very good day and safe with this COVID times. Thank you very much.